Operator: Greetings and welcome to Oshkosh Corporation reports fiscal 2012 fourth quarter results. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you Mr. Davidson, you may begin.
Pat Davidson: Thanks Jessie. Good morning everybody and thanks for joining us. Earlier today we published our fourth quarter results for fiscal 2012. A copy of the release is available on our website at oshkoshcorporation.com. Today’s call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP measures used during this call and is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to slide two of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All results stated on this call are for continuing operations attributable to Oshkosh Corporation, unless otherwise stated. Our presenters today include Charlie Szews, Chief Executive Officer; Dave Sagehorn, Executive Vice President and Chief Financial Officer. Also joining us today is Wilson Jones, our President and Chief Operating Officer. Many of you got a chance to meet Wilson during our Analyst Day on September 14. Wilson, welcome to the group. With that taken care of, please turn to slide three and I’ll turn it over to you Charlie.
Charlie Szews: Thank you Pat and good morning. Before commenting on fourth quarter results, I’d like to provide a brief update on some recent developments. On October 17, 2012, Carl Icahn launched an unsolicited tender offer to acquire all of the outstanding shares of Oshkosh common stock at $32.50 per share and announced his intentions to nominate a slate of directors for election to the company’s board at the company’s 2013 annual meeting. After careful consideration with our independent financial and legal advisors, the Oshkosh Board of Directors unanimously recommends that shareholders reject Mr. Icahn’s offer and not tender any of their shares. In conjunction with our earnings release this morning, we followed the board’s full recommendation on Schedule 14D-9 with the SEC and issued a press release summarizing the results and reasons for the board’s recommendation to reject the offer. We also announced that the board unanimously adopted a shareholder rights plan, intended to enable all shareholders to realize the long term value of their investment in the company, hence protect them from unfair or cohesive takeover tactics. The Oshkosh board deemed it appropriate and prudent to adopt the right plan at this time, given the course of nature of Mr. Icahn’s offer. In making its recommendation to reject Mr. Icahn’s unsolicited offer, the board unanimously concluded that the offer significantly undervalues Oshkosh. The offer does not deliver a fair value to shareholders, but is an opportunistic attempt by Mr. Icahn to enrich himself at the expense of the company’s other shareholders. Further, Mr. Icahn’s track record, his relative substantial number of conditions to the offer creates significant uncertainty and risk about the offer. The board also considered that Oshkosh continues to aggressively deliver on its MOVE strategy, and that the operation of the company pursuant to the MOVE will deliver substantially greater value for Oshkosh shareholders than the offer. In fact, in fiscal 2012 we already began to drive improved results as evidenced by the fourth quarter and full year earnings we are reporting today. The housing recovery that drives so much of our result is clearly picking up momentum to support the board’s view that Mr. Icahn’s offer significantly undervalues shareholder’s investment in Oshkosh. Again, we refer you to this morning’s 14D-9 filing for the board’s full recommendation. Now, the purpose of today’s call is to discuss the company’s quarterly results and our outlook. We ask that you keep your questions limited to those topics. Thank you in advance for your understanding and cooperation. Okay, turning to our fourth quarter results, I am happy to announce another strong quarter where the Oshkosh team exceeded our most recent expectations. This team is driven to deliver value for all shareholders and these results are evidence of the effectiveness of our MOVE strategy, as well as the positive momentum we are seeing in our business. We delivered revenues of $2.1 billion and adjusted earnings per share of $0.65 for the fourth quarter. This performance included margin improvement in all our segments, although this is not a trend we expect to continue for defense. We also took the necessary actions to exit two smaller under performing businesses and focus on the primary businesses in our Fire and Emergency segment. We are reaffirming our outlook for EPS for continuing operations for fiscal 2013, a range of $2.35 to $2.60. Our strong fourth quarter performance buttresses our view of fiscal 2013. Our EPS estimate range does not reflect any cost, which could be substantial related to Mr. Icahn’s tender offer and threaten proxy contest or additional cost that exit the ambulance business. Dave will talk more about our 2013 outlook in a few minutes. So turning to full performance on slide four, adjusted earnings per share reached $2.27 for fiscal 2012, outperforming our most recent estimate range of $2.05 to $2.15. All our segments contribute to the better than expected results. By executing MOVE effectively, we were able to raise expectations multiple times during the year. Our better than expected earnings contributed to the strong free cash flow in the year. We use this cash flow to further reduce our debt levels. We also began to return some cash this year, although it’s via share repurchases. We made progress with regard to each of our MOVE initiatives in fiscal 2012 and we’ll touch on some of this progress over the course of this call. Lets describe how we’re tracking on our three-year targets and please turn to slide five. As we discussed at our Analyst Day in September, utilization rates, used equipment values and fleet ages remained high for this equipment and that’s very positive for our fiscal 2013 outlook. A very positive development for all our non-defense businesses is that we believe it to be the beginning of a genuine recovery in housing. Housing starts in the U.S. appear to have turned the corner as evidenced by the most recent data showing housing starts to increase 15% from August to September to an adjusted annual rate of 872,000 and earlier this week it was reported that new single family home sales surged in September to its highest level in nearly 2.5 years. Now this chart from the national association of homebuilders shows housing starts by region. You can see a definite upward trend led by the south and west regions. We talked about this and showed the strong correlation in concrete mixer sales during our Analyst Day. In fact our concrete mixer orders in our fourth fiscal quarter, normally the seasonally weakest quarter for orders, except with the start of a market upturn approximate our total orders for the first three quarters of fiscal 2012; that’s a strong surge in orders. The housing recovery should also benefit our access equipment business as telehandlers are commonly used in housing construction and the housing recovery normally perceived the non-residential construction recovery, which is the largest driver of access equipment demand. We have also seen municipal fire apparatus demand stabilizing in fiscal 2012. In fact, our municipal fire apparatus orders increased in fiscal 2012. We believe the U.S. market will bottom in fiscal 2013, a level slightly below 2012 levels as the federal demand in this market bottoms. Then we believe the municipal recovery should take over from there. Please turn to slide six. At our Analyst Day we showed a slide similar to this one to provide the targeted impact and operating income margins by year through fiscal 2015 of the old or optimizing cost mechanical structure initiative. We updated the chart and I’m pleased to note that the actual fiscal 2012 benefit came in a bit better than we anticipated in mid September. In addition, we now expect approximately 62 basis points of impact in fiscal 2013 and the cost reduction actions implemented in fiscal 2012 against our 75 basis point target for fiscal 2013. We aren’t only optimizing our production costs. We recently made the decision to freeze a number of the fine benefit pension plans for salaried employees, including a supplemental executive retirement plan for senior management. Affected employees will accumulate recurrent benefit through the fine contribution plan going forward. These actions will reduce the volatility associated with the cash funding of defined benefit pension liabilities and expense. Further we expect these actions to reduce annual expenses by approximately $3 million as a result of the reduction in supplemental executive retirement plan benefits and the elimination of certain limited post employment health benefits for current salaried employees. Now before I turn it over to Wilson, let me provide you with an update for our defense business and please turn to slide seven. At our Analyst Day we said we were acting to take the uncertainty of the defense downturn off the table for investors and we have been doing just that. We are prudently managing our capacity during the downturn. We worked with our U.S. army customer to smooth out the peaks in their original FMTV production plant, extend production to sustain a healthy workforce and adjust production down in the step function to admit these shift in each of our facilities to run at near full capacity until that shifts production requirements are completed. We expect these actions will limit under absorbed overhead in the downturn. The first step down production occurs in January 2013. Accordingly we made a difficult, but necessary decision announced yesterday, a workforce reduction effective in January 2013, consisting of 450 full time employees and 40 contractors in our Oshkosh defense business. Of course we are actively pursuing international programs and other new business opportunities to limit the impact of the expected defense downturn on our workforce and business, like the ordered for 750 M-ATVs to the United Arab Emirates that we announced in August. That contract is progressing on schedule. We are building complete vehicles in Oshkosh, whereas under our previous M-ATV contracts we built crew capsules at JLG. First time quality on these units has been excellent. We are ahead of our shipment plans, our revenue recognition doesn’t occur until the vehicle is accepted in the United Arab Emirates, which is projected to begin in our second fiscal quarter. Beyond the UAE, we hope to announce further M-ATV orders in the coming months. Now, of course we announced the big win in August when we were awarded an engineering and manufacturing development or EMD contract to the Joint Light Tactical Vehicle Program. Following our debrief with our customer, we believe we are in excellent position on the JLTV program, and our vehicle for the competition certainly receives a lot of attention that we use in modern day marine and association for U.S. army tradeshows. We believe our highly capable, life combat, all trained vehicle is the right vehicle for this program for our service men and women, and we will work hard to prove this as we deliver 22 prototype vehicles to our customer, for rigorous testing over a 15 month period beginning next fall. We are deploying a full-court press to deliver the best JLTV vehicles on time and on budget and positioning Oshkosh to win the JLTV production contract, which will support the long-term health of the business. Wilson will now provide an update of our non-defense segments. Please turn to slide eight.
Wilson Jones: Thank Charlie and good morning everyone. First off I’ll share Charlie’s confidence and excitement about our MOVE strategy. We spoke about it in detail during our Analyst Day and Charlie just described the progress we are making in reducing our cost structure. Another big portion of this strategy is to maximize performance in the market recovery. We are pleased to say that JLG did that throughout fiscal 2012, finishing with sales to external customers up 44% for the year compared to fiscal 2011. The scene at JLC has racked up some impressive accomplishments this past year. The access equipment market in North America remains strong. We are currently in the process of our annual negotiations with a number of our larger access equipment customers. Our talks are constructive and encouraging as we strive to provide our customers with the necessary equipment they need to satisfy demand that is driving their high utilization rates. Our backlog at fiscal year end was lower when compared to the end of fiscal 2011, mainly due to a shift in order timing in the fourth quarter of fiscal 2012 to the first half of fiscal 2013. Now I personally talked to a number of customers recently and they remain positive about their outlook for their 2013 capital spending in our product category. You may have heard their positive comments on recent earnings calls. Consistent with that, we are seeing good order activity in October and we remain confident about the outlook for access equipment business in fiscal 2013. Dave will share more on this in a few minutes. Turning to our Fire and Emergency segment, we are pleased with the sales and margin improvements we delivered in the fourth quarter. This business has faced a lot of challenges over the past couple of years and we worked hard to better position the business, to deliver solid results during the market downturn. As we announced on our last quarterly earnings call, we are rationalizing two under performing businesses, ambulance and mobile medical. These actions have allowed us to focus our resources on the businesses in this segment that really move the needle. While we are starting to see the benefits of our focus on improved margins, we believe we will have significant additional opportunities when the fire apparatus market starts to grow again. We expect that to begin in 2014 and we’ll be ready. Fire and Emergency segment has been and will continue to be a leader for us in the emerging markets growth imitative of the MOVE strategy. During the fiscal fourth quarter we shipped units to Saudi Arabia, Azerbaijan, Indonesia, Iraq and multiple locations within China. In fact, sales from this segment into Asia tripled in fiscal 2012. These sales and others contributed to the significant increase in international sales in this segment compared to the prior year quarter. Finally, exiting the ambulance and mobile medical business is on track. We expect to complete the build out of the ambulance backlog sometime in our second fiscal quarter. Let me now review some of the highlights in our commercial segment; please turn to slide nine. Its clear that MOVE is gaining momentum all over the company. It’s particularly evident in our commercial segment. The team has done a great job of streamlining operations and supplying growing customer demand with products that are used in residential construction. Demand for both concrete mixers and wallboard loaders has picked up as we believe the housing recovery continues to gain momentum. In particular, we’ve noticed strength in the Western U.S. Demand also remains strong for our C&G powered units, with the RCB market being more mature in its developments. We continue to be encouraged by the development of the C&G concrete mixer market and expect higher C&G powered unit sales as the concrete mixer market rebounds from the depths of the downturn in this market. We are also benefiting from the mini operational improvements in this segment. Notably the conversion to our four-in-one line, which greatly increases manufacturing flexibility, and this segment like the others is working on rolling out the Oshkosh operating system, which we believe will be a significant contributor to our optimizing cost and capital initiative. Overall, we have solid plans to continue to drive MOVE forward in fiscal 2013 and beyond. The businesses are energized and eager to deliver on the opportunities we have in front of us. Now please turn to slide 10 and Dave will take us through a brief discussion of our financial performance for the quarter and our expectations for fiscal 2013.
Dave Sagehorn: Thanks Wilson and good morning everyone. Consolidated net sales for our fourth fiscal quarter were $2.06 billion, a decrease of 2.3% from the fourth quarter of fiscal 2011. Similar to our third fiscal quarter, sales in each of the non-defense segments were higher than the prior year quarter, led by a 34.2% increase in the commercial segment. These higher sales helped to largely offset an expected 18.6% decline in defense segment sales compared to the prior year quarter. Sales for the quarter were higher than we expected when we presented our fiscal 2012 earnings per share outlook at our Analyst Day, largely due to higher sales for our major defense customer and to a lesser extent higher sales in our access equipment and commercial segments. Adjusted consolidated operating income for the quarter was $110.4 million or 5.4% of sales. This compared to adjusted operating income of $87.4 million or 4.1% of sales in the fourth quarter of fiscal 2011. Improved performance in all of our non-defense segments led to higher adjusted operating income and operating income margins compared to the prior year quarter. Similar to sales, our adjusted operating income for the quarter was higher than when we presented our fiscal 2012 earnings per share outlook at our Analyst Day. During the Analyst Day presentation we noted that our results could exceed the range that we were showing investors and that’s exactly what happened. Further, late in the quarter, our defense segment finalized pricing with our customer on a contract for which we had previously met our performance obligations. We also reported a favorable LIFO adjustment in our defense segment versus our previous estimate. Both of these items resulted in a positive operating income impact compared to the estimates shown at our Analyst Day. Overall we are pleased with the continued margin improvement in our non-defense segments and the performance of our defense segment in what is a challenging environment. More information on our fourth quarter segment performance can be found in the appendix section of this mornings slide deck. Adjusted earnings per share from continuing operations for the quarter was $0.65, reflecting the improved operating income margins in each of the segments. Fiscal 2011 fourth quarter adjusted earnings per share was $0.50. Results from discontinued operations for the fiscal year include an after tax operating loss of $1.4 million related to the mobile medical business and $4.4 million of after tax exit costs related to the decision to exit this business. Discontinued operation results also include $6.1 million in benefits related to the settlement of an income tax audit late September related to previously disposed businesses. The company expects to reflect the results of its ambulance business as discontinued operation, following completion of production of ambulances currently in backlog, which we currently expect to occur in the second quarter of fiscal 2013. We also repurchased 546,965 shares of Oshkosh common stock during the quarter, at an average price of $24.42 per share. Please turn to slide 11 for a review of our current outlook for fiscal 2013. At this time we are reaffirming our fiscal 2013 estimates that we provided at our Analyst Day. We continue to believe we are going to see a slow recovery in our non-defense segments. We are also confident that our MOVE strategy will be a significant contributor to our results in fiscal 2013 and beyond. Our fourth quarter performance versus our most recent expectations is certainly a positive, but we understand there could be some choppiness in our end markets along the way as we discussed previously. We will continue to review our outlook for the year and provide an update on our next earnings call. So lets revenue and provide an update to what we said at the Analyst Day. We believe fiscal 2013 earnings per share will be $2.35 to $2.60, excluding additional cost to exit the ambulance business. As Charley noted earlier, these estimates also exclude any costs, which could be substantial associated with Mr. Icahn tender offer and threatened proxy contest. Specifically, in spite of orders in the fourth quarter of fiscal 2012 that were lower than the prior year quarter, we continue to believe access equipment segment sales will be $2.8 billion to $3 billion in fiscal 2013, which represents an approximate flat to 7% increase versus fiscal 2012 sales to external customers. We expect operating income margins in the segment will be in the 9.5% to 10% range reflecting the progress this segment is making in its cost reduction initiatives and higher pricing. We expect sales in our defense segment to be $3.3 billion to $3.4 billon, a decrease of approximate 14% to 17% versus fiscal 2012. We expect operating income margins for the segment to be between 5% and 5.5%. We believe fire and emergency sales will be $720 million to $750 million, excluding sales from the ambulance business which we are exiting. We believe operating income margins in this segment will be between 2% and 2.5%, reflecting the improved performance compared to fiscal 2012. We expect sales in the commercial segment will also be in the range of $720 million to $750 million. This range is an increase of 3% to 8% compared to fiscal 2012 largely driven by expected higher concert mix of sales. We believe operating income margins in the segment will be approximate 4.5% to 5%, similar to fiscal 2012, reflecting the benefit of higher sales volumes, largely offset by investment in our MOVE strategy, to provide us with a long term cost structure to take advantage of the expected acceleration of the housing recovery in 2014 and 2015. We believe the corporate expenses will be approximate 10% higher than in fiscal 2012 as we increased our investments in information technology. Our estimated tax rate for fiscal 2013 of 33% remains unchanged from our Analyst Day and these estimates assume a share count of 91.5 million. Also as noted at the Analyst Day, we believe our first quarter will be the lowest quarter of the year in terms of sales and earnings per share driven by seasonality. I will now turn it back over to Charlie for some closing comments.
Charles Szews : Thank you very much Dave. As we now turn our focus to fiscal 2013, we believe we offer the best proposition to deliver substantial value for shareholders. Mid-September at our Analyst Day we presented the details of our MOVE strategy, metrics to measure and assess performance and our vision for driving shareholder value. We introduced you to key leaders of our business segment, as well as our principal functional areas. We shared our assumptions and expectations. We are in the early states of executing our MOVE strategy and it is already starting to deliver results. We believe there is substantial upside for shareholders as we strive to approximately double adjusted earnings per share from continuing operations from fiscal 2012 to a range of $4 to $4.50 per share by fiscal year 2015. We have the right team and the right roadmap to drive superior shareholder value as we transition into a global industrial company. That concludes our formal comments. We are happy to answer your questions. I will turn it back over Pat to get started on the Q&A.
Patrick Davidson: Thanks Charlie. I would like to remind everyone, please limit your questions to one plus a follow-up and after the follow-up we ask that you get back in queue if you would like to ask additional questions. As a reminder, we are not going to comment on the Icahn Group tender offer and threatened proxy contest. The focus of this call is our quarterly performance and our outlook and I will discuss the tender offering in the proper form at the proper time. We appreciate your understanding. Jessie, lets please begin the question-and-answer period of the call.
Operator: Thank you. (Operator Instructions) Our first question comes from the like of Eli Lustgarten of Longbow Research. Please proceed with our question.
Eli Lustgarten - Longbow Research : Hey. Good morning everyone. It’s a nice quarter.
Charlie Szews: Thank you Eli.
Eli Lustgarten - Longbow Research: Can we talk a little bit more about what’s going on in the Access business. I mean we saw these numbers and they also basically told us that there were delays in orders. But your commentary said a delay from this past quarter to the fast half of the year. Can you give us some idea of what’s going on in negotiations? What’s going in pricing and particularly, if it really stretches out over a six-month period instead of a three-month period, I mean how severely will the first quarter be affected and how should we think about modeling this factor as we go through it, because the next two quarters will probably be materially affected by what’s going on.
Charlie Szews: Sure. I’m glad you asked that question, because I like to clarify it. For those of you that have really observing JLG over they years, you will know that its normal for order patterns to change over the course of the cycle. So last year what you saw is in the early stages of recovery. So you had one particular large customer and a few others. They were concerned that this supply base, namely us and some of others and our supply chain, we are going to be able to ramp off fast enough for their recovery, right. So they ordered early, because they wanted to make sure they got their production slots in. This year we are not worried about our ability to meet their production schedules, so they don’t need to order early and so that’s what your really seeing here. We are not concerned about our supply base and if you watch or listened to their earnings calls last year, any time their utilization rate went down a half a point or a point because they were bringing out a lot of the new equipment, they were getting pummeled by the street. So they are going to be little bit more judicious on how they take their equipment over the course of 2013. So now what you are going to see and when there is a consecution up-tick, you are going to see this pattern come back again, where you are going to see early orders in the cycle, because people are going to want to get their orders in early, and capture the limited capacity in the market place. When we are in this early mid-cycle point like we our today, they don’t need to do this. So that’s really all your seeing.
Eli Lustgarten - Longbow Research: And can you talk about what’s going on in pricing and how do we model it in, the quarterly earnings, because its looks like the first quarter could be materially effected if orders. (Inaudible) till you mentioned that you had decent orders in October, so…
Charlie Szews: Well, let me talk a little bit about the first quarter and then I’ll let Wilson talk somewhat on the pricing. Early on we gave comments about our first quarter being week seasonally. We are not changing our guidance on the first quarter from what we said at September 14, all right, there shouldn’t be any concern of that. We are looking at a very strong access equipment market, high utilization rates, good pricing in the marketplace, all of the NOCs are making positive comments and we are also seeing finally is that the independent rental companies are coming off, so it’s a healthy market. So let me then pass it on to Wilson to talk about pricing.
Wilson Jones : And just to echo a little bit of what Charlie’s saying there is, you are seeing it too. A lot of announcements out there about rental rates going up. I think that recently we heard that one of our large customers was experiencing a 7% increase in rental rates year-over-year. So I think everyone understands that we are not back to where we were margin wise during peak and that’s the goal everyone is working on, to enhance margins and go forward. I’ll tell you, our discussions have been good as I mentioned earlier with the larger rental companies. I will say that we are encouraged by them. I think all this is going to take some time. As to Charlie’s point they are better managing their utilization rates. If you think about November, December, January, those were the slowest three months of the year, so again, they do want those machines to come in and be idle and hurt their utilization rates. So they are better managing their order patterns and again, that’s what we are experiencing in October. To be specific Eli, from a processing standpoint I don’t want to go into great deal of how we are doing on those, but as you know those discussion are always eventful. But I would tell you, we are encouraged and we are having good dialog with our customers over pricing
Eli Lustgarten - Longbow Research: All right, thank you very much. I’ll get back in queue.
Charlie Szews: Thank you Eli.
Operator: Thank you. Our next question comes from the line of Jamie Cook of Credit Suisse. Please proceed with our question.
Linda Yon (ph) – Credit Suisse: Hi guys. This is actually Linda Yon (ph) in for Jamie Cook, great quarter.
Charlie Szews: Thank you.
Linda Yon (ph) – Credit Suisse: So my first question kind of on that AWP backlog, just to clarify, so this quarter was that just one large company, one large customer that kind of pushed out orders or is that kind of across the board.
Charlie Szews: It was primarily one customer where we got a big order in the last week of the last fiscal year, all right. There is a little bit of a pattern beyond them, so its not just one customer, but that is greatly affecting our comparison.
Linda Yon (ph) – Credit Suisse: Okay and then could you go a little bit into the mix that you guys have, like what’s the small guys versus the larger guys and are you expecting to see that mix shift and then also sort of was the mix with Europe versus the U.S. and how is that mix going to shift in 2013.
Charlie Szews: Okay, I’ll add some things and then we’ll sort of continue here. We are expecting the independent rental companies to be a bigger part of our mix next fiscal year, as well as telehandlers generally is a product line, all right and so that is instructive. The overall financial in our company is roughly flattish is what we are expecting.
Dave Sagehorn: Yes, and that’s consistent with the discussions we are having through ourselves and for the operations planning process. Again, as we mentioned in the Analyst Day, our relationships with our customers today are much more open and transparent, so they are sharing those CapEx figures with us. I would say that if you look at what we are forecasting, we had not built in a lot. We are very modest with our forecast for Europe. We don’t expect really any big things in Europe. There are pockets of opportunities in Europe. We are seeing some pockets in some developing markets that will help us in this fiscal year, but the primary driver going forward will be North America.
Linda Yon (ph) – Credit Suisse: All right good, thanks guys.
Operator: Thank you. Our next question is coming from Ann Duignan of JPMorgan Chase. Please proceed with your question.
Ann Duignan - JPMorgan Chase: Hi, good morning guys.
Charlie Szews: Good morning Ann.
Ann Duignan - JPMorgan Chase: Good morning. Can we switch gears and talk about concert mixers and in particular, your comments on demand for CNG products and what percent of your demand is now CNG or how do expect that segment to progress as we go forward?
Charlie Szews: Ann from the RCB or the refuse side, its defiantly a higher percentage of the sales that we are seeing there. That’s where we saw the earliest adaptation of CNG. We are probably in that 35% to 40% of the sales today, our CNG units for refuse. On the mixer side we are seeing customers become more interested in that, but we are not at a penetration rate that we are seeing on the RCB side today, but we do expect that that will continue to grow.
Ann Duignan - JPMorgan Chase: So, there’s more customers asking about the availability rather than placing orders for CNG as at this point.
Charlie Szews: Well, on the mixer side?
Ann Duignan - JPMorgan Chase: On the mixer side, yes.
Charlie Szews: Yes. No, we definitely received some orders for CNG mixers and again as the market is starting to come back, I think we will have more of those discussions with our customers in terms of, as they are looking to up-grade and up-date their fleets.
Ann Duignan - JPMorgan Chase: Okay, and on the defense side, I don’t think you told us, maybe I missed it, what percent of your revenue this quarter was that MTB?
Charlie Szews: It was about 45% in the quarter.
Ann Duignan - JPMorgan Chase: Okay. Okay, I’ll get back in line. I think the AWP questions had been asked. Thanks.
Charlie Szews: Thank you. Operator Thank you. Our next question comes from the line of Steve Volkmann of Jefferies & Company. Please proceed with our question. 
Steve Volkmann - Jefferies & Co.: Good morning guys.
Charlie Szews: Good morning Steve.
Steve Volkmann - Jefferies & Co.: I’m going to go with defense and curious Dave, you talked about some changes in program accounting it sounds like and so forth. Should we view those as one time and can you quantify that?
Dave Sagehorn: Yes, it was, I wouldn’t say change in accounting, it was just firming up the pricing. It was the type of program that was such that it was an urgent need for the government and they do have a mechanism which allows us to deliver the product and then continue to work with them on finalizing the pricing and that’s what we did during the quarter. The adjustments that we referred to are for programs that are behind us. So in terms of run rate going forward, I guess the guidance that we’ve give for next year, the 5% to5.5% operating income margin does not anticipate that we would have a continuation of those type of activates next year.
Charlie Szews: In fact we don’t have many un-definitized contacts remaining. 
Steve Volkmann - Jefferies & Co.: Right, okay good. And I guess that sort of brings me to my broader question. Maybe it was just me being too conservative, but you kind of beat me on most of the margins, on most of the segments and it seems like things were a bit better than what you thought and I think you stated to talk about this Dave, but did things really change in the last six weeks or were you just conservative in your initial guidance and I guess what I’m really thinking off is, after the strength in this quarter, why wouldn’t 2013 be looking a little bit better.
Dave Sagehorn: Yes, at the Analyst Day meeting Steve you may recall, I think we did make a comment about the fact that its depending on how things went in the last several weeks of the quarter. We did have an opportunity to exceed the numbers that we were presenting at the Analyst Day, and that’s really what happened. If you know our businesses, you know there is a lot of activity that occurs in the last month of the quarter and even within that, the last several weeks of the quarter and some of that is dynamic in terms of when for example our government customer may sing off for vehicles or when units are shipped both domestically and internationally in our other segments. So things generally went in our favor this quarter and sometimes you see things go the other way, but it was positive, a very positive end to the quarter from that standpoint. As it relates to FY13, that was six or seven weeks ago that we had the Analyst Day and its probably just a little too early to be tinkering with the forecast in big ways for the full year of fiscal 2013. I think you should take some confidence in the fact that we did finish Q4 strong and we are reaffirming the numbers that we have out there for fiscal 2013 estimates at this point.
Steve Volkmann - Jefferies & Co.: Okay, all right, that’s good color. I appreciate it.
Charlie Szews: Thanks.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Charlie Brady of BMO Capital Markets. Please proceed with our question.
Charles Brady - BMO Capital Markets : Hey, thanks. Good morning guys.
Charlie Szews: Good morning Charlie.
Charles Brady - BMO Capital Markets: On the Access, I don’t want beat this things, but I’m going to anyway. With the way pf negotiations you are in right now and you are talking about first half, I guess to focus on the first quarter, the backup of sales external customer on a year-over-year basis, jus so I understand this, are you expecting access to be up on a year-over-year basis in Q1, excluding any kind of external sales for the defense business.
Charlie Szews: Charlie, we are talking probably flattish to up a little bit in the quarter based on what we currently see.
Charles Brady - BMO Capital Markets: Okay, that’s helpful. And I don’t know if I missed it, did you describe the mix between what percentage of sales in the quarter came out of the large rental companies versus the independents.
Dave Sagehorn: Charlie, I don’t know that we’ve ever disclosed what the mix is. We’ve described directionally that things are changing and I would say that the independent rental companies are starting to buy again and we expect that that trend will accelerate into 2013.
Charles Brady - BMO Capital Markets: Okay, I’m just going to throw in on defense really quick and I’ll get back in the queue. In the press release on the layoffs in defense, you noted that you are pursuing over 2000 additions M-ATV and other vehicle orders globally. I wonder if you could just comment on that, the over 2000 number, that’s a big number. How much of that will be at M-ATV, how much will be other type of vehicles and can you give any kind of quantification on kind of timing as to when some of that might hit. Thanks.
Charlie Szews: Sure. For a long time we said we’ve been chasing somewhere around 3000 M-ATV vehicles, but orders are up to 3000 or so M-ATV vehicles. So you’ve seen us announce orders now for about 800 right, and so obviously we’ve got additional opportunities that we are chasing. In our prepared remarks we also said that we hoped in the coming months to announce some additional M-ATV orders. Most likely, those are shipment events in fiscal 2014. Its possible some could slip into 2013, but more likely than not, what we are really going to be doing is building out the portfolio for the future. And the orders are really from multiple countries, previous size orders in some cases that we are seeing and pursuing.
Charles Brady - BMO Capital Markets: Thank you.
Operator: Thank you. Our next question comes from the like of Andrew Obin of Bank of America-Merrill Lynch. Please proceed with our question. Mr. Obin, your line is now live. You may proceed with your question. We will move on to our next question which comes from the line of Rob McCarthy of Robert W. Baird & Company. Please proceed with our question.
Meg (ph) - Robert W. Baird & Co.: This is Meg (Inaudible) for Rob McCarthy. Good morning gentlemen.
Charlie Szews: Good morning.
Dave Sagehorn: Good morning Meg.
Meg (ph) - Robert W. Baird & Co.: I will stick with defense here. First, I might have missed this, but have you guys quantified one-time items in a quarter that drove the margin. Perhaps you can remind me of that if you would. And then looking at the FMTV program specially, can you give us a sense for how margin has progressed there in the quarter and what your expectations are for 2013.
Charlie Szews: Yes Meg, in terms of the first question, the items that we referred to in our prepared remarks were the definitization of finalization of the pricing on the contract as well as a positive LIFO adjustment. Ex those items, margins in the segment would have been down probably in the 5.2% to 5.3% margin for the quarter, as opposed to 6.6% that was reported. In terms of the FMTV program, we are actually really pleased in terms of the progress that we have made on that throughout the course of fiscal 2012. The defense team is really done a lot of work to turn that program around from where we started and we think we are going to continue to see positive improvement as we head through fiscal 2013.
Meg (ph) - Robert W. Baird & Co.: Thank you. That is very helpful. And then switching over to commercial, can you comment at all about the mix in backlog that you have there, the concert placement of sales. At that time they were quite a bit better than what they have been in the past and related to that, I’m also wondering about the incremental margin opportunity on additional concert placement sales and how that might play through in your margin next year.
Charlie Szews: Sure. We are happy to talk about that. This is the first time in years where our mix of backlog exceeds our refuse backlog at any quarter. So its clearly a sign that housing is coming back, and this should be good also for margins obviously, because talking about mix of business, it’s a good margin business, but importantly we are really absorbing a lot of overhead when we start to get the mix of volume back into that factory, which has been a bit under valued during this recession.
Dave Sagehorn: And then Meg on your question in terms of the opportunity from a margin standpoint, I guess I would point you to the guidance that we gave for the segment for FY13, 4.5% to 5% margin. Now there is a little bit as I mentioned, the impact of the investment in our MOVE strategy there. After that we’ll probably be looking at margins that would definitely be north of 5% in that segment.
Meg (ph) - Robert W. Baird & Co.: Very helpful, thank you.
Charlie Szews: Thanks.
Operator: Thank you. Our next question comes from the line of Walter Liptak of Barrington Research. Please proceed with our question.
Charlie Szews: Walt, are you there?
Walter Liptak - Barrington Research: Sorry about that guys, good morning.
Charlie Szews: Good morning Walt.
Walter Liptak - Barrington Research: Okay, I wanted to ask one on the fire and emergency. Some of the smaller first responder equipment manufacturers that are seeing a pick up in North America for the first time in years and we have your guidance for the full year, but I wonder if you can provide some color about the fleet age, discussions that you are having with customers about pricing and maybe any of the differences between why may be some of the smaller personal equipment in picking up and you are starting to pick up a little bit but what you are seeing that market.
Wilson Jones:  Yes Walter, this is Wilson. I think what we are seeing is a little healthier municipal environment and so budgets are becoming a little more plentiful. I wouldn’t say that they are robust but they are getting better. We are seeing pockets around the U.S., but we are seeing increases in activity from our standpoint. I think again you got this issue of fleet age, equipment age, a lot of the loose equipment that you are speaking about has weathered and has been used heavy in these last few years, but not in a replacement cycle. So we are seeing that slight up-tick for us. I think Charlie mentioned it in his comments, the thing that’s slowing us down a little bit from the fire side is our government, our federal business, that’s still a little bit on the decline and slowing our fire and emergency sales funds, specifically in the U.S.
Charlie Szews: But we do expect that to bottom out in 2013 and then municipal would be the driver in demand in ‘14 and ‘15.
Walter Liptak - Barrington Research: Okay. I wonder if I can what the mix is at this point between federal and municipal?
Charlie Szews: Its much more heavily weighted Walt historically to the municipal side.
Walter Liptak - Barrington Research: Okay, thank you.
Charlie Szews: I’ll try to follow up with you on that Walter, okay.
Walter Liptak - Barrington Research: Okay, thank you Pat.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Steve Barger of Keybanc Capital Markets. Please proceed with our question. 
Steve Barger - Keybanc Capital Markets: Hey, good morning.
Charlie Szews: Good morning Steve.
Steve Barger - Keybanc Capital Markets: Similar question on fire; are you seeing the municipality starting to increase add-on or go after higher margin content, maybe suggesting a change in tone around spending constraint for themselves.
Charlie Szews: Well Steve, what we are seeing, I get this question a lot, is commercial sales growing and customer sales declining, but its quite the opposite. If you look at the fire press manufacturer association data, the custom side of the business is actually increasing. So I guess the quick answer to your question is yes, we are seeing an increasing in customization.
Steve Barger - Keybanc Capital Markets: Which should be good for mix as you go through the quarters right.
Charlie Szews: It should be good yes.
Steve Barger - Keybanc Capital Markets: And shifting gears, inventory picked up a bit sequentially on the balance sheet. Is that more work in progress or more raw material and given how you see end markets progressing, do you have an inventory target for ‘13 or maybe a target for cash generation from working cap.
Charlie Szews: Steve, I think what you saw in terms of the pick-up in the quarter is largely related to the M-ATV order that we have for the UAE. We are right now heavily involved in the manufacture of those unites. And then I’m sorry, can you...
Dave Sagehorn: With respect to cash flow for next year, we did provide our estimates at the Analyst Day and we’d say that that would be unchanged from that point.
Steve Barger - Keybanc Capital Markets:  Okay, thanks.
Charlie Szews: Thanks.
Operator: Thank you. Our next question comes from the line of David Raso of The ISI Group. Please proceed with our question.
David Raso - The ISI Group: A quick question on the Access for the first quarter.
Charlie Szews: We can hardly hear you. Can you speak-up?
David Raso - The ISI Group: Okay, the first quarter for Access you mentioned sales flat to up slightly. When I look at the profitability for the first quarter, you are going to have the positive year-over-year of the customer mix, but the negative product mix of more telehandlers. So versus last years first quarter margins which were about 2%, probably about 1% if you pull out the defense business impact on the segment. How should we be thinking about profitability in Access roughly, year-over-year for the first quarter?
Charlie Szews: Excuse me David, I think you are going to see and what we expect is a definite improvement year-over-year. As you know we’ve implemented pricing increasing last year, at the beginning of the year and we’ve seen some positive impact from that and expect that to flow through to the first quarter. So I would expect significantly improved margins versus what you saw in the first quarter of fiscal 2012.
David Raso - The ISI Group: And then if the first quarter is able to be flat to up a bit and you are experiencing some of the delay in orders so to speak, we’ve just seeing. Why would you not think the rest of the year can give you much growth in that segment, given your positive commentary about the Access market for next year. Because the first quarter is flat to up a little, why are we thinking the full year is actually basically flat?
Charlie Szews: I got to think about this, because we did have last the M-ATV related volume in the first quarter.
David Raso - The ISI Group: Just about a $100 million. So lets say apples to apples you are saying its $2.8 billion or so, this year going to $2.9 billion, so maybe its up $100 million. I’m just trying to square up your positive commentary about the Access market and if the first quarter isn’t down, why would necessarily the rest of the year not be able to provide better growth. The comp is harder in the first quarter, because it’s the first quarter of last year where you did have the defense revenue in the segment.
Dave Sagehorn: David, we are giving you a range and I think what we are saying is that we do believe that it will be up single digits next year in terms of overall sales over the course of the year. And again, its early, for those that have watched us over time, we don’t get too aggressive right and we are going to give you a realistic view, and if some of the dynamics that see over the course do develop, maybe we can adjust their estimates later in the year. But I think we are at a good point right now.
David Raso - The ISI Group: That’s helpful. Thank very much.
Charlie Szews: Thanks David 
Operator: Thank you. Our next question comes from the line of Alex Potter of Piper Jaffray. Please proceed with our question.
Alex Potter - Piper Jaffray: Hi guys. Just a real quick kind of follow up on that one. Trying to figure out the cadence here of revenue, if you just take your guidance as it exists now in terms of top-line across all of your four different segments, could you just comment briefly on whether you would expect it to be back end loaded or front end loaded for each of the four segments. Thanks a lot.
Charlie Szews: I think you got to take into consideration the seasonality that we have. So I would expect that our segments that have exposure to construction related activity, you’ll see the strongest quarter being our second and third fiscal quarter of the year. In terms of from a fire and emergency standpoint, I think that’s going to be more level across the year and then defense, I think that’s going to be – you’ll see a little of a pick-up in the second and third quarter as we sell the M-ATVs that we currently have in the backlog for UAE; those will be the strongest quarters for that segment.
Dave Sagehorn: Commercial probably also a little back end loaded.
Alex Potter - Piper Jaffray: Okay. Very good. Thanks a lot.
Charlie Szews: Thank you.
Operator: Thank you. And our final question comes from the line of Alex Blanton of Clear Harbor Asset Management. Please proceed with your question.
Alex Blanton - Clear Harbor Asset Management : Thank you. I really wasn’t ready, because I didn’t expect to be called on guys. 
Charlie Szews: Alex, you are always ready aren’t you?
Alex Blanton - Clear Harbor Asset Management : Listen, always ready, correct. I want to ask about this JLG forecast. I mean if I look at the total here, you are forecasting a 1% increase in sales for the year and you are forecasting a 15% decline in the defense sales, but that’s pretty forecastable, isn’t it, because you have delivery schedules that stretch out many months, so that ought to be good and its higher than I would have expected. But you’re forecasting a 4% in increase in JLG and a 10% increase in commercial, which has the cement trucks. I’m not sure you can really defend these forecasts; they seem every low.
Charlie Szews: Alex, one thing, and I’m not sure if you’re excluding the sales, M-ATV sales from the access segment to defense in fiscal 2012.
Alex Blanton - Clear Harbor Asset Management : I might have missed that, how much is that?
Charlie Szews: That’s about a $125 million for the year.
Alex Blanton - Clear Harbor Asset Management : Sure, okay, I didn’t take that out. Wait a minute, I think I looked at it.
Charlie Szews: Let me say it this way Alex. If you exclude that and if you take the top end of our estimate range for access of $3 billion, it’s about a 7% to 7.5% increase year-over-year.
Alex Blanton - Clear Harbor Asset Management : Okay, so that’s a little bit better than – yes, you are right, I didn’t take that out. By the way, is that a new table that you got in the charts where you break out that…
Charlie Szews: We used it on the Analyst Day, if you’re talking about the expectations for 2013.
Alex Blanton - Clear Harbor Asset Management : Actually no, I’m taking about in the appendix. I’m sorry I’m looking at the release. The table in the release where you have external customers, inner segment net sales for all the segments and the piece...
Charlie Szews: We’ve reported that. We’ve had that for a while.
Dave Sagehorn: At least a year or so.
Charlie Szews: As long as we’ve had significant M-ATV sales going thorough JLG we’ve been reporting that.
Alex Blanton - Clear Harbor Asset Management : That’s a good way to do it, because that’s really confusing when you start talking to Access. But anyway, even a 7% or 8% increase in Access seems ludicrous to me. Because booms are week in the fourth quarter and you are going to get a recovery, and if you have a recovery in the economy, a continued recovery, and if it accelerates because job creation picks up depending on what happens on November 6. You will have commercial booming picking too, because rental rates are going up, houses are now more economic because rents are going up, so people are buying houses, but then they also need – we’ve had a low vacancy rate in the rental. So it looks to me like you are coming up to a pretty good environment fro Access equipment next year. I don’t understand such a low number.
Charlie Szews: Alex, I guess we see a lot of positive things out there in terms of housing markets etc. I think what we said is we gave our estimates and outlook for fiscal 2013 at the Analyst Day. We are not that far away from that yet and we’ll continue to review our outlook for the year and provide an update on our next earnings call.
Alex Blanton - Clear Harbor Asset Management : Okay well, I guess that’s all I can expect. But thanks, it’s a good quarter. Thank you.
Charlie Szews: Thank you.
Operator:  Thank you. There are no future questions at this time. I would like to turn the floor back over to management for any closing comments.
Charlie Szews: All right, thank you very much and thank you to all our shareholders for your support. We are available to discuss our performance, our expectation and especially our MOVE strategy, which we believe is the best option for driving value for all our shareholders. Out team is mission driven to execute for you. We are also available to discuss the contents of this mornings 14D-9 filing. Have a great day.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.